Operator: Welcome, ladies and gentlemen, thank you for standing by. And welcome to the BrainsWay Reports First Quarter 2020 financial results and operational highlights. At this time all participants are in a listen-only mode. After the speaker presentation there will be a question and answer session. [Operator Instructions] I must also advise you that the conference today 24th of June 2020 is being recorded. I would like now to hand the conference over to your first speaker today, Bob Yedid. Please go ahead, sir.
Bob Yedid: Thank you all for participating in today's call. With us today are BrainsWay’s, President and Chief Executive Officer, Christopher von Jako; and Chief Financial Officer, Judy Huber. Earlier today BrainsWay released financial results for the first quarter ended March 31, 2020. A copy of the press release is available on the company's website.  Before I turn over the call to Chris and Judith, I would like to remind you that this conference call, including both management's prepared remarks and the question-and-answer session may contain projections or forward-looking statements regarding future events or the future performance of BrainsWay, including but not limited to any statements relating to commercial plans or activities, financial projections, clinical studies, R&D plans, and/or anticipated timelines. These statements are only predictions and BrainsWay cannot guarantee that they will in fact occur. BrainsWay does not assume any obligation to update that information. Investors are cautioned that all forward-looking statements involve risks and uncertainties, such as reliance on third parties and shifting market conditions, particularly during the COVID-19 pandemic, which may cause actual results to differ from those anticipated by BrainsWay at this time.  Additional risks concerning factors that may cause actual events, results, or achievements to materially differ from those contained in the forward-looking statements can be found in the Company's registration statement on Form 20F and in its other filings with the Securities and Exchange Commission.  With those prepared remarks, it's now my pleasure to turn the call over to BrainsWay's CEO, Christopher von Jako. Chris?
Christopher von Jako: Thank you, Bob, and welcome everyone to BrainsWay's first quarter 2020 earnings call. On today's call as we continue to operate in the midst of the ongoing COVID global health pandemic. I will provide an update on how we have worked to address the unique set of challenges caused by the virus. I'll then turn the call over to Judy Huber, our new Chief Financial Officer to discuss our financial results. I will conclude by highlighting our reimbursement progress, clinical trial activities and R&D efforts, as well as other key recent achievements and focus areas for the remainder of 2020. We will then open up the call for your questions. With that, let me begin by discussing our broad response to COVID-19. First and foremost, our top priority is the health and wellbeing of our loyal and growing customer base, the patients they serve and of course, our dedicated employees and their families. We remain firmly committed to serving our customers during this difficult period. We fully understand the importance of patients continuing to receive their Deep TMS treatment. Therefore, BrainsWay has remained fully operational in the United States throughout the COVID-19 pandemic. Despite the outbreak, many of our customers have also remained operational during this time. The most impacted states have been along the east and west coast. Of course, throughout the country, there were some clinics that temporarily shut down, saw some fewer patients and some closed for a mandatory two week period upon learning that COVID 19 patient had visited the clinic. Many clinics are progressing toward near normal operations at this time, and have instituted various steps to decrease the risk of spreading the virus. These include social distancing, cleaning and disinfecting the equipment between sessions and other operating measures. It is very important to note that beyond the direct effect of the physical health, we are unfortunately beginning to learn more about the sequential impact on mental health these uncertain times are having on a significant number of people; some sobering statistics, a federal emergency hotline for emotional stress registered at 1,000% increase in calls on April 2020 of April 2019; and Talkspace, which provides online therapy has logged a 65% increase in new patients. Moreover, according to Mental Health America, the use of their free screening tools for anxiety and depression are up 370% and 394%, respectively since January. Indeed, just a few weeks ago, the FDA placed Zoloft, a popular antidepressant drug on its shortage list. This was followed from a report from the Census Bureau data, which revealed that over a third of Americans are showing signs of clinical anxiety or depression. The survey of the US households was done between late April and mid-May. Furthermore, it is thought that OCD may potentially be heightened by the fear of the virus, for example, causing patients to feel an even greater need to wash their hands excessively due to the fear of germs. Also, experts are concerned about a rise of suicides, overdose deaths, and substance abuse disorders that historically follow economic downturns in a natural disasters. All of this means that BrainsWay needs to be even greater resource than ever for our customers which treat patients suffering from depression and OCD. And we are trying to do exactly that. We have used this period to enhance awareness from an educational standpoint. For example, since the beginning of April, we have hosted a total of 31 webinars for our current and potential new customers.  These have been presented by a wide variety of key opinion leaders, customers practice success consultants, our Chief Medical Officer Dr. Aron Tendler, in other BrainsWay employees. In addition, we recently launched a new website, which offers significantly upgraded user friendliness and adds a broad range of our educational information and new webinar content, which is now available on demand. Management has also acted aggressively to offset the effects of the COVID-19 pandemic from a financial perspective. We have implemented a significant expense reduction program. This includes cutting all non-essential spend, such as on promotional items and events. In addition, we reduced salaries across the board beginning in April, ranging from 5% for employees and manufacturing to 30% for myself. As previously communicated our results in the first quarter were impacted due impart to certain customers being unable to finalize orders or to accept delivery of ordered systems as a result of the temporary shutdown of certain physician offices and clinics. This trend continued in the second quarter, and we expect a similar impact on our financial results for the current period. However, as I noted earlier, many clinics are nearing the ability to conduct more normalized business operations. With that, I will now pass the call to Judy, for her review of our first quarter financial results. Judy?
Judy Huber: Thank you, Chris. I'm excited to participate in my first BrainsWay earnings call and I'm thrilled to have joined this growing and dynamic company. We are proud of the way our business performed in the first quarter amidst the COVID-19 pandemic. Let's turn to our financial results for the first quarter of 2020. We generated quarterly revenue of $4.2 million, a decrease of 20% over the first quarter of 2019. Our recurring revenues primarily derived from leases were $3.5 million, an increase of 13% year over year. As of March 31, 2020 BrainsWay’s installed base totaled 548 Deep TMS systems, which reflects a quarter over quarter increase of 18 units. Since the first quarter of 2019 BrainsWay’s installed base has increased by 132 systems or over 32%. During the first quarter of 2020 BrainsWay shipped 10 OCD coils to new and existing customers, bringing the company's total OCD coils to 183. As Chris noted, in response to the impact of COVID-19 on our business, we put an expense reduction program in place that remains ongoing. This includes cuts to sales and marketing activities, delays in certain R&D projects and salaries. That said the company is still considering certain specific sales and marketing hires as part of its broader growth strategy. It is critical that we balance appropriately managing expenses during this temporarily challenging period with the need to properly invest in the long term growth of our business. Moving on gross profit from the first quarter of 2020 was $3.1 million compared to $4 million during the prior year period. Gross margin for the quarter was 76%, which was slightly lower than the first quarter of 2019 gross margin of 78%. This was due to a higher percentage of lease revenues versus direct purchases. Research and development expenses for the quarter were $1.8 million, similar to the same period in 2019, and primarily consisted of costs associated with the continued development of our patented Deep TMS technology. Sales and marketing expenses for the first quarter of 2020 were $3.7 million, an increase of $900,000 over the prior year period. The increase was primarily driven by enhanced marketing activities for depression and OCD and the company's larger sales force when compared to 2019. General and administrative expenses for the quarter were $1.3 million as compared to $1 million in the prior year period. This increase was driven by an increase in non-cash provision for doubtful accounts. Total operating expenses for the first quarter totaled $6.8 million compared to $5.6 million in the same period last year. For the first quarter ended March 31, 2020, we incurred a net loss of $3.4 million compared to a net loss of $1.9 million recorded in the first quarter of 2019. Moving to the balance sheet. We ended the quarter with cash and cash equivalents of $18.2 million, compared to $21.9 million at December 31 2019. Cash used during the first quarter was in line with our expectations, given that most of the COVID 19 cost reduction efforts were implemented in Q2. We believe that our strong balance sheet will allow us, at the appropriate time, to expand our sales and marketing efforts to drive additional adoption of the Deep TMS system and to continue to invest in R&D in order to explore new potential indications. Looking ahead, as Chris noted, many of our customer trends we experienced in the first quarter, we can have continued throughout the second quarter. Therefore, we expect a similar impact on our second quarter financial results. While we do not intend to provide quarterly guidance as a standard practice, given the extenuating circumstances caused by COVID-19, we believe it is important that our investors and analysts have firm and understanding of the current state of our business as possible in this evolving healthcare environment. Therefore, for the second quarter of 2020, we expect revenues in the range of $4.6 million and $4.9 million. With that, I'd like to turn the call back over to Chris for some further thoughts before we open up the call for the Q&A session. Chris?
Christopher von Jako: Thank you, Judy. I would like now to provide an update on some of the progress we have achieved recently with reimbursement both in major depression and OCD. Let's begin with depression. At the end of the first quarter, we received reimbursement coverage for Deep TMS from Humana, a major national health care plan, which had not previously covered Deep TMS. This plan includes approximately 20 million covered lives, many of whom will now be eligible for Deep TMS. Also in the first quarter, Cigna reduced its requirement from failing three prior antidepressants to two before being eligible for Deep TMS coverage. Likewise, last month Aetna reduced its requirement from four to two and also reduced the patient minimum age requirement from 21 to 18. For OCD, we continue to work with payers on securing reimbursement and continue to collect post marketing data in support of our efforts to expand coverage to include this indication. In support of our reimbursement efforts in OCD, the results of 192 patient post-marketing clinical study from 22 Deep TMS sites was submitted to a peer reviewed journal in April. In this real world clinical study, the majority of OCD patients benefited from Deep TMS treatment, and the onset of improvement usually occurred within 20 sessions. The authors also saw that extending the treatment course beyond 29 sessions resulted in the continued reduction of OCD symptoms, raising the prospective benefit of extending treatment protocols in non-responders. We look forward to sharing further details on the results of this post marketing study once we have additional information on the timing of the publication. I'd like now to discuss our ongoing efforts to ramp up our R&D initiatives. We have a robust clinical pipeline. In addition to our FDA cleared treatments for depression and OCD, we have various ongoing or planned studies and several potential new indications for Deep TMS. Following final positive results from our multicenter smoking cessation study last year, we submitted a 510(k) application to the FDA in April for this potential indication. If we received FDA clearance, we expect to execute a controlled market release in early 2021. As a reminder, approximately 38 million US adults smoke cigarettes and 480,000 die from smoking each year.  So this is obviously a serious public health issue. There are limited treatment options that exist today in this area, and Deep TMS may be able to address the significant unmet medical need. Our current objective is to initiate at least one initial clinical trial by the end of this year, and we're currently working with our collaborators in the FDA in clinical trial design. This trial will likely be another addiction disorder, specifically for opioid abuse disorder. In opioid abuse, please recall that BrainsWay was selected by the FDA as part of its innovation challenge and received the breakthrough device designation from the agency. I'd like to highlight that May was Mental Health Awareness Month. As part of this initiative, we organized a social media sweepstake called Stand Against the Stigma, with a goal of encouraging conversation around mental health among the general public. Through this engaging campaign, many people shared their own personal mental health experiences, helping us to work towards the goal of destigmatizing mental illness. To help kick off the campaign and start conversation, we tapped into Deep TMS patient advocates who recorded short videos talking about their own mental health journey. We received many entries in this campaign, and we recorded over 1 million audience impressions, serving to significantly enhance awareness around mental health generally and BrainsWay specifically. Let's now turn to some recently announced management hires and promotions that position BrainsWay for long term success. In May, we were pleased to promote Hadar Levy to Senior Vice President and General Manager of North America. Hadar now oversees many aspects of our North American business. He is an integral leader of BrainsWay and has been a key contributor to our strong growth. Simultaneously with Hadar’s promotion we also announced Judy Huber's appointment as CFO. Judy has more than 30 years of financial and strategic experience and we're excited to have her on board to further enhance our financial infrastructure. We also promoted Amit Ginou to Vice President Site Manager in Israel. Amit is a long term employee of BrainsWay and has been a valuable asset and the development and execution of the important Deep TMS clinical trials that have directly fueled our growth. And most recently, we appointed Chris Boyer as Vice President of Global Marketing in May. Chris has more than 15 years of medical device marketing and business development experience in both privately held and multibillion dollar publicly traded medical device companies. And we're excited to leverage his extensive experience, leading and growing commercial organizations. We have an extremely strong leadership team in place. And we know the role that our industry plays is more essential than ever. We at BrainsWay are proud to be deeply engaged with our customers in providing the tools support and services and most importantly hope to the many who depend on them in their daily lives. Before turning it over to the Q&A, I'd like to thank our talented and dedicated employees for their continued support and commitment, which has produced significant achievements this quarter, despite the challenging environment we all find ourselves in. Our team is focused on improving people's lives with our game changing product. With that, I will now ask the operator to please open up the call for questions. Operator?
Operator: Ladies and gentlemen, we will now begin the question and answer session. [Operator Instructions] We will now be taking our first question from the line of Jayson Bedford from Raymond James. Please go ahead. Your line is now open.
Jayson Bedford: Good morning. Thanks. Can you hear me okay?
Christopher von Jako : Sure. Perfect, Jayson. Thanks.
Jayson Bedford: So a few questions here just on 2Q expectation of $4.6 million to $4.9 million. Not many companies seeing a sequential improvement. So I just wanted a little bit more detail. Is the 2Q number just fulfilling the first quarter backlog or have you seen progress throughout the last couple months of 2Q?
Christopher von Jako: Jayson, did I understand you correctly? Are you saying is some of the orders that from the backlog from Q1, is that was that your question? I mean from the end of the year.
Jayson Bedford: The question, I guess is more in 2Q because obviously there's implied sequential increase from 1Q to 2Q. Is underlying demand increasing here in 2Q relative to 1Q or is the 2Q expectation just a fulfillment of the deferrals in 1Q?
Christopher von Jako: It's probably a combination of the both. There was some systems in Q1 that obviously we had orders for, we couldn't fulfill during that time period. And then those obviously leaked into Q2. But we do see, as I mentioned in my prepared statements, there is opening up. We have been getting orders in some places and have been able to ship in some places. And now we are having that additional ability to now ship some of those orders now.
Jayson Bedford: Okay. And when you look back at 1Q, were there orders that were in fact cancelled or were they largely just deferred? Whether it be just into 2Q or 3Q?
Christopher von Jako: Yeah, just deferred.
Jayson Bedford: Okay. And can we assume that most of the new installs in practices are new to TMS or are you displacing others at this point?
Christopher von Jako: Again, it's a combination typically of our current customers that are expanding and also new customers.
Jayson Bedford: Okay. And then just maybe a last one for me and this is a little bit more qualitative. But given COVID and the current state of the world and your comments around the unfortunate increase in anxiety and depression, have your discussions with psychiatrists changed or have you seen more interest around Deep TMS? Thanks.
Christopher von Jako: Thanks, Jayson. I would say in general, yes. Most of the psychiatrists that we've spoken to understand that with COVID, the pandemic like we're hearing you are seeing in the media quite a bit and also my prepared statements, that anxiety and depression are on the rise. There's no question. And we feel obviously that we have a major role to play in that. And we're obviously happy that we could play that role. Thanks, Jayson. 
Jayson Bedford: Thank you.
Operator: We will now be taking our next question from the line of Steven Lichtman from Oppenheimer & Co. Please go ahead. Your line is open.
Steven Lichtman: Thank you. Good morning. Chris, you mentioned a lot of positive movement on TMS reimbursement in the quarter. I guess two questions on that. One, was there a particular publication that drove these changes? And two, have you seen an increase in interest yet from potential customers, given that it can be used earlier now in the treatment paradigm?
Christopher von Jako: Thanks Steve. Thanks for the question, Steven. In general, I'm not sure if there was a publication that really spawned that on. I think that we've seen over the last several years that some of these payers maybe in general the data is becoming better and better around TMS and more knowledge around TMS, but they have been reducing that. So I think overall, it's generally a very good trend. I think it's also a very good trend with COVID as well. They have the ability of another potential treatment for depression, I think is valuable and it’s important. And Steven I don't think I got your second question. I'm sorry, I kind of focused on the first one. Can you repeat the second part of that question?
Steven Lichtman: Yeah, sure, no problem. Given that you're on a lease model and not on a per click model, just wondering what the positive impact could potentially be here from the improved reimbursement? Are customers yet showing more interest given that it can be used earlier in sort of their treatment paradigm? I mean what's the positive impact you think you might see from this sort of improved reimbursement environment for TMS?
Christopher von Jako: Yes. So I think overall, it's generally very good for our patients. It's very good for our customers, who can open up more access to the treatment to their patients. I think in general, these 2 occurrences just happened in the last couple of months. But I think overall, it's a very positive sign. As you know, most of our business model is based on leasing. We do in some cases, payments per patient, which is a positive effect of that for us. But I think in general, it's positive for the patients and also for our customers.
Steven Lichtman: And then on OCD, have you seen yet interest in more out of pocket payments from patients, given the impacts you spoke about from COVID-19? Are you seeing more interest in people just paying out of pocket even before reimbursement or not yet?
Christopher von Jako: I don't think we see that yet. We know that there are pockets in areas in the country where there has been reimbursement that obviously takes some time and effort on our customer standpoint, working together with us to try to do the appeals and get reimbursement. But we know that, in general, there is out of pocket pay for OCD as well. So we haven't actually seen the trend yet. I think it's probably too early to see that trend. But obviously, I mean, the main thing for us is to continue to work on our reimbursement efforts. And I'm just delighted today to share this 192 patient study that was done and was submitted to a journal. So I'm very excited to get that out into the public domain as well.
Steven Lichtman: Thanks Chris. And then lastly, can you talk about the rollout of smoking cessation? Can you remind us just in general, will it look similar to OCD in terms of the coil placement and then it will be more on a per patient basis? Is that the intention?
Christopher von Jako: Yes. So we're really looking forward obviously to rolling that out. And it depends really obviously working with the FDA on that to try to figure out when we can get the premarket clearance for that. So the goal would be to roll into a controlled market release, hopefully towards the end of this year or the beginning of next year. And I'm really excited to have Chris Boyer on staff now. He and I worked together in the past. And we've done similar types of rollouts in the past. We haven't finalized actually the commercial roll up, how we're going to do it. And so we're hoping to share that with you on probably the next earnings call, the one after that. But I could say it may be similar in the way as we've done OCD, but we need to finalize that.
Steven Lichtman: Thanks, Chris and Judy.
Christopher von Jako: Thank you Steven.
Operator: We will now be taking our next question from the line of Jeffrey Cohen from Ladenburg Thalmann. Please go ahead. Your line is now open.
Jeffrey Cohen: Perfect. So a couple of questions. So firstly on the OCD indication, it looks like you said you placed 10 units taking the total up to 183 for the quarter. On the other units, you're talking about 548 for Q1. I'm a little off that number at around 525. I think I'm thinking about, what did I have, 202 sold, commercialized and around 324 as far as the lease program. Any insight there as far as where I am the low or for the quarter, how many were commercialized and were they purchased or leased?
Judy Huber: So I'm not sure where you may be low. I think that we had a strong placement of the 18 systems. The majority of those were on the lease side. And as you can see from the numbers, we only had about 17% of direct purchase deals in the first quarter.
Jeffrey Cohen: Got it. And on the smoking cessation, since your submission in April, has there been any discussion with the FDA since or nothing that you're waiting to hear back?
Christopher von Jako: No. We've had some discussions with the FDA, Jeff. They are ongoing discussions right now with the FDA.
Jeffrey Cohen: Okay. In running this study and interacting with some of these physicians out there, has there been any discussion about radically [ph] and any combo studies or head to head studies?
Christopher von Jako: Sorry, say it again, Jeff. I missed it.
Jeffrey Cohen: Has there been any discussion with any of the docs or centers as far as chances radically and doing some studies as comparisons?
Christopher von Jako: No, we haven't actually got to that point. There has been no discussions around that as of now.
Jeffrey Cohen: Okay. That’s all from me. Thanks.
Christopher von Jako: Thank you. Thank you so much.
Operator: There are no further questions on the phone.
Christopher von Jako: Sorry. Say it again, operator. I didn't hear you.
Operator: Sorry. There are no sure questions on the phone. Please go ahead.
Christopher von Jako: Okay. So thanks. In conclusion, I want to thank all of the investors and other participants for the interest in BrainsWay for joining today's call. I'd also like to thank the customers for partnering with BrainsWay and for their unrelented dedication to patient wellness. With that, please enjoy the rest of your day. Operator, you can end the call.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.